Operator: Good morning, everyone. And welcome to Portland General Electric Company’s First Quarter 2012 Earnings Results Conference Call. Today is Thursday, May 3, 2012. This call is being recorded and as such, all lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question-and-answer period. (Operator Instructions) For opening remarks and introduction, I would like to turn the conference over to Portland General Electric’s Director of Investor Relations, Mr. Bill Valach. Please go ahead sir.
Bill Valach: Thank you, Rachel, and good morning, everyone. And we are very pleased that you’re able to join us today. Before we begin our discussion this morning, I’d like to make our customary statements regarding Portland General Electric’s written and oral disclosures and commentary. There will be statements in this call that are not based on historical facts and as such constitute forward-looking statements under current law. These statements are subject to factors that may cause actual results to differ materially from the forward-looking statements made today. For a description of some of the factors that may occur that could cause such differences, the company requests that you read our most recent form 10-K and form 10-Q. The form 10-Q for the first quarter 2012 is now available on our website at portlandgeneral.com. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise and this Safe Harbor statements should be incorporated as part of any transcript of this call. Portland General Electric’s first quarter earnings were released before the market opened today, and the release is available on our website at portlandgeneral.com. Leading our discussion today are Jim Piro, President and CEO; and Maria Pope, Senior Vice President of Finance, CFO and Treasurer. Jim will begin today’s discussion by providing a general overview of the quarter results and our strategic capital projects. Then, Maria will provide more detail around the quarterly results. Following prepared remarks, we will then open the lines up for your questions. And it’s my pleasure now to turn the call over to Jim.
Jim Piro: Thank you, Bill. Good morning, everyone and thank you for joining us. Welcome to Portland General Electric’s first quarter 2012 earnings call. PGE’s first quarter earnings were $49 million or $0.65 per diluted share, compared with $69 million or $0.92 per diluted share in the first quarter of 2011. These results reflect strong operating and financial performance and I’m pleased to report that we are reaffirming our 2012 earnings guidance of a $1.85 to $2 per diluted share. On today’s call, I will give you an update on Oregon’s economy and the progress we’re making on our strategic initiatives. Then Maria will discuss PGE’s first quarter results, liquidity and our outlook for the remainder of 2012. Now, let’s move on to the economic outlook in our operating area. Oregon continues to experience in migration and the state unemployment rate has dropped to 4 percentage points from last year to 8.6%, with the unemployment rate in our core operating area averaging 7.8%. Quarter-over-quarter, we have added 3,500 customers and our weather adjusted retail energy deliveries are up. We expect to see growth in our industrial sector as a result of Intel’s large D1X facility and new data centers coming online as scheduled. Now, I’ll give you an update on our strategic initiatives starting with operational excellence. We continue to deliver excellent operating performance company-wide. Our system operated extremely well. Our distribution reliability metrics remained strong and generating plant availability was high. Overall satisfaction from residential, commercial and general business customers remains high and we continue to receive positive feedback that tells us we are meeting our customers’ needs. We are continuing our benchmarking and best practices work to identify and implement system and technology improvements that result in cost efficiencies throughout the company. We’ve already achieved significant savings with the installation of smart meters, and are pleased with the performance of our new financial and supply chain systems. We expect to see similar results as we deploy new technology and make process changes in our transmission and distribution areas. Now, I’ll give you an update on our progress executing our integrated resource plan, action plan. Oregon Public Utility Commission is currently reviewing a draft of our combined capacity energy RFP. This RFP allows self-build benchmark proposals and bids from independent power developers or producers who also have the option to build on PGE’s benchmarks sites, so long as the plants are built to our specifications and would be owned and operated by us. We are finalizing our benchmark proposals for the combined RFP and expect to receive the OPUC’s decision early next month. We anticipate the final decisions on what resources we select in the latter part of 2012 or early in 2013. We are continuing negotiations on a benchmark resource for the renewable RFP and expect to file a draft of the renewable RFP with the commission next month with final resourced decisions in late 2012 or early 2013. The RFP process takes time and we’ll focus on being thorough, and doing it right. I’m confident we will accomplish the IRP action plan goal, which is to acquire resources to meet our customer’s needs that achieved the least cost, least risk criteria. We’re also making progress in our cascade crossing transmission project. In February, we filed the application for site certificate with Oregon Department of Energy. We are currently working with U.S. Forest Service on the environmental impact statement and with the confederated tribes of warm springs on easement and an environmental analysis. We are also continuing our discussions with BPA on agreements that will enable the integration of the project into the Northwest power grid and with PacifiCorp on their potential participation in the project as a co-owner. Although, the project remains in the feasibility and permitting stage, we still expect to receive the necessary permits in 2014 and are targeting in in-service state of late 2016 or early 2017. Now, I’d like to turn the call over to Maria Pope, our Chief Financial Officer to discuss our financial and operating results in greater detail.
Maria Pope: Thank you. As Jim noted, net income for the first quarter of 2012 was $49 million or $0.65 per diluted share, compared with $69 million or $0.92 per diluted share for the first quarter of 2011. Our financial performance this quarter is in line with our expectations and reflects strong power supply operations slightly above average hydro conditions and a focus on cost management. It is important to note that our results in the first quarter of last year reflect significant power cost benefit from very strong regional hydro conditions and economic displacement of the company’s thermal generation. I will now provide further detail on key drivers for the quarter, discussing financing and liquidity and conclude by reaffirming our full year earnings guidance. Total revenues for the first quarter of 2012 were $479 million, $5 million less than the first quarter of last year, primarily due to a decrease in both price and volume of energy sales. Actual, retail energy deliveries decreased a 1% quarter-over-quarter. However, excluding two large paper manufacturers, which have little impact on margin, retail energy deliveries were relatively flat. Adjusting for these paper manufacturers, as well as weather, energy deliveries were up 1.2% quarter-over-quarter, which is in line with our full year load growth expectations of 1% to 1.5%. We are particularly encouraged by the solid performance in our commercial and especially in our industrial sectors, including high technology and manufacturing. Purchased power and fuel expense was $195 million for the quarter, compared with a $194 million a year ago, a 5% increase in average variable power costs was offset by a 3% decrease in total system load. Net variable power costs for the quarter were $5 million below the baseline and within the lower deadband of the power cost adjustment mechanism or PCAM, as hydro generation were lower than last year was above the long-term average. In the first quarter of 2011, power costs were $19 million below the baseline, due to an abundance of hydro generation and low wholesale power prices. At this point, we expect net variable power costs for the full year to be within the lower deadband of the PCAM. Hydro generation from PGE owned and Mid-Columbia Projects was down 27% quarter-over-quarter, reflecting generation at 6% above normal, compared with 16% above normal a year ago. In addition, generation at our Biglow Canyon Wind Farm increased 13%, due to improved wind conditions. However, wind generations for the quarter was slightly below level forecast from 2012 annual power cost update tariffs. Generation at our thermal plants represented 40% of our total system load for the first quarter, compared with only 24% a year ago. Production, distribution, and administrative costs totaled $107 million from the first quarter of 2012, an increase of $13 million from the first quarter of last year. Key drivers of the increased, include higher production expense related to increase thermal plant operations, higher delivery systems costs and increase pension expense. Importantly, O&M expense for the quarter was in line with our expectations and approximates the quarterly run rate for the full year, relative to 2011 we expect O&M for 2012 to increase but after adjusting for an insurance recovery in 2011 and several other expenses that are offsetting revenues and in other areas, we expect O&M to be relatively flat year-over-year. Lastly, depreciation and amortization expense for the quarter was $62 million, up $6 million from a year ago, driven by the shortened operating life of the Boardman Plant and the amortization of tax credits that were completed in 2011. This increase was partially offset by a $4 million decrease related to the deferral costs associated with four capital projects. For full-year, PGE expect to defer a total of $17 million, assuming a regulated ROE of 10% or below. Capital expenditures this quarter were $69 million, and we expect total capital expenditures for the full-year to be approximately $330 million. We are focused on maintaining our strong balance sheet, adequate liquidity and investment grade credit rating. As of March 31, we had strong liquidity with $533 million in available credit. We do not expect to issue debt or equity in 2012. We target a capital structure of 50% debt and 50% equity. At the end of the first quarter, our common equity ratio was 49%. We are reaffirming our full year earnings guidance of $1.85 to $2 per diluted share based on our expectations of low growth, strong power supply operations and effective cost management. In closing, we continue to focus on financial objectives that support our core utility business, including improving our earnings performance and maintaining our balance sheet strength to support future growth initiatives.
Jim Piro: Thank you, Maria. We’re pleased to see solid low growth in our operating area, our performance during the first quarter reflects our continued focus on operational excellence including generating plan availability, customer liability and customer satisfaction. Moving forward, we will continue to focus on our core business strategy and positioning the company for future investment opportunities that deliver value to our customers and shareholders. Operator, we would now like to open the call for questions.
Operator: Thank you. (Operator Instructions) And we’ll take our first question from Neil Mehta with Goldman Sachs.
Jim Piro: Good morning, Neil.
Neil Mehta - Goldman Sachs: Good Morning, Jim. Good morning, Maria. So first question relates to hydro. I was reading through your 10-K, 10-Q this morning. It looks like hydro forecasts are tracking slightly above normal for the April to September timeframe, how does that impact the way you think about the PCAM mechanism in fuel costs?
Jim Piro: Let me just give you a general deal on Hydro. And it has improved and continues to improve with the wet March and April we’ve had and you have seen the forecast in our K and there’s even been more in our recent forecasts out there. The interesting thing is we didn’t see much hydro in the first quarter because it was so cold, and so the snowpack is still up in the mountain. It hasn’t come down. So the good news is it likely to be delayed. So we didn’t see much of a hydro effect in the first quarter. We expect to see more in the second and third quarter, really it will depend on the weather conditions on how fast the snow comes down. The kind of the downside of that is that natural gas prices are low, so the value of that hydro will be somewhat diminished from what we saw may be last year. So really it is going to depend on how the hydro comes off the mountains and how it plays out in our forecast. Mary will talk a little about the PCAM and how that plays into that.
Maria Pope: Sure. Currently, Neil, we are at about $5 million below the baseline and within the PCAM ranges. We expect to most likely end up within the ranges, but we do have some upside potential here.
Neil Mehta – Goldman Sachs: Got it. And then, Maria and Jim there is obviously an increase in the first quarter. The goal is to keep O&M flat year-over-year, does that imply 2Q to 4Q, you are expecting O&M to trend down?
Jim Piro: Maria will explain this and some adjustments to O&M between last year and this year that to get to that flat common and Maria will take you through that. The plans did run a lot more in the first quarter this year because hydro was down compared to last year, and so that’s why you are seeing a slight increase in O&M quarter-over-quarter. Maria, do you want to talk about how the whole year forecast shapes up?
Maria Pope: Sure. What we’re looking at was about a $107 million of total O&M, up just a slight bit in the ANG area, but predominately in the production and distribution area. If you look back on the sequential quarters, we’re tracking pretty much in line with what we saw for each quarter of 2011, with the exception of the first quarter when production and distribution O&M were quite low. We did have some adjustments that were carryovers from 2010, in that 2011 first quarter. And then also, we have some items that are offset in either revenue or in deprecation. So, in general when we look at O&M, we’re expecting to be relatively flat, absent those adjustments on a year-on-year basis.
Neil Mehta – Goldman Sachs: Got it. And then finally it’s a question asked every quarter, how we should be thinking about the timing of the next rate case, is the expectation still that you filing 13 or 14 implementation, more of an O&M type of case as opposed to a capital case?
Jim Piro: Yeah. But that’s our current thinking right now. We will continue to keep looking at the forecasts. A lot of it will depend on load growth. We do have a couple of capital projects that we do see coming online in 2014. There is actually three. There is a new readiness center for us, backup for our system. We are also looking at new service center added, we call Avery and then we’re also implementing the Boardman, dry sorbent injection system in 2014. So there are three capital projects and we’re still evaluating. We’ll make a final decision until next year whether we file that case for 2014, but right now that’s our current thinking. We will continue to evaluate the load forecast and how the capital projects are going and make that determination closer to the end of this year.
Neil Mehta – Goldman Sachs: Thanks, Jim. Thanks, Maria.
Maria Pope: Thank you.
Operator: Next we’ll move onto Maury May with Power Insights.
Jim Piro: Good morning, Maury.
Maury May – Power Insights: Yeah. Good morning folks. How are you doing?
Jim Piro: Thanks. Good.
Maury May – Power Insights: I have a question for Maria, and its one more question about the PCAM. You said you’re $5 million below the base line in the first quarter, but I think you said in your presentation that you thought you’d be towards the low end of the base line, toward the deadband I’m sorry, which implies that the PCAM maybe positive to the tune of $13 million to $14 million this year, is that what you’re implying here?
Maria Pope: I think a lot of it depends on what we continue to see in terms of the run-off of all of the snowpack that we’ve had in the mountains as well as gas prices, but we do have some room for upside within our PCAM mechanism to our benefit, and we’ll see how that plays itself out as we go forward. We do not spend a lot of time forecasting hydro conditions and Mother Nature, but given where we are right now and the fact that it’s pouring outside, we have positive expectations.
Maury May – Power Insights: Okay. But you did say, your expectations were toward the low end of the deadband, right?
Maria Pope: No. We are within the deadband.
Maury May – Power Insights: Okay. Within the deadband, but not any deeper than the $5 million?
Maria Pope: In terms of between $5 million and $15 million, we didn’t give an exact forecast, Maury.
Maury May – Power Insights: Okay. Sorry. I thought I heard one.
Maria Pope: No, Sorry.
Maury May – Power Insights: Okay.
Operator: And next we’ll move onto Brian Russo with Ladenburg Thalmann.
Brian Russo – Ladenburg Thalmann: Hi. Good morning.
Jim Piro: Good morning, Brain.
Brian Russo – Ladenburg Thalmann: Good morning. Just curious on the RFP process for the capacity, and the peaking resource, when would you expect, if you were to self-built, when would you start to spend that capital and when would that become commercially available?
Jim Piro: On the capacity project, I think our plans right now, assuming we get to the RFP by the end of this year and that is the winning bid. We expect the capacity resource to come on in early 2015. The exact timing schedule that will depend on equipment availability and kind how the process plays out. But that being that period and the energy resource, if again we were successful and if that was the winning bid, probably mid-2016.
Brian Russo – Ladenburg Thalmann: Okay. So for the capacity, if it become online early 2015, if you had a two-year construction cycle, we should see spend begin in 2013.
Jim Piro: Yeah. ‘13, 14, I mean I think that’s the plan as we have ordered the equipment, there will be sometime to gear up and get mobilization. So I think you will see more towards the end of 2013 and towards the beginning of 2014 will be the major spend in terms of the construction cost, but that’s probably a reasonable assumption.
Brian Russo – Ladenburg Thalmann: Okay. And would you have to seek recovery of this in the context of general rate case, or you do something kind of one off.
Jim Piro: No. I think the plan would be, we would need to file a general rate case for cost recovery. I mean, we could talk about a potential track for that, but the commission tends to like to do a general rate case when we bring the large resource in.
Brian Russo – Ladenburg Thalmann: Got you. In terms of your tax rate, I know you’ve got a fairly low tax rate due to the production tax credits. I’m just wondering with the increased capacity factor on Biglow, does that change your tax rate assumption for the year and then also what is that tax rate assumption?
Maria Pope: Sure. Our tax rate is fairly favorable for the first quarter as a result of the production tax credit. We are assessing though that after a full year, we probably would have somewhere in the range that we have had in the last couple of years which is 28% to 30%, will be our full year tax rate. We have seen very positive signs as the wind farm, in terms of the opportunities of that facility in the wind versus last year, so there could be some upside. But I think using the last three year history would be a good number to go with.
Jim Piro: Brain, I think the better way to deal with this is use the statutory rate on the base business so then add in the production tax credit based on an expected wind generation, it’ll probably be a -- because the number will fluctuate based on PTCs and income, but it’s better to separate the two pieces as I think.
Brian Russo – Ladenburg Thalmann: Okay.
Jim Piro: You get to about the same results, Maria, is talking about but things will move around based on income and expense, so.
Brian Russo – Ladenburg Thalmann: Got you. And then just on the guidance, I would imagine when the guidance was originally issued it was based on normal hydro. Now, we are saying slightly better hydro and you are already $5 million below the dead band. And we’re likely to see and a continuation of favorable hydro conditions like you said, with snow-pack yet till now in the wet May and April? Is there a bias towards the upper end of your current guidance and if you still in the middle of the range, are there any negative offsets to what looks to be a favorable PCAM?
Jim Piro: Brain, you have to -- and Maria will explain this after I give you some comments. You have to understand there is a relationship between the ROE and the deferral that we have for the four capital projects. And so, that’s really based on a 10% ROE. So there is an interplay between the PKM and the deferred capital or deferred revenues for the capital. So maybe Mary, you can explain that relationship.
Maria Pope: Sure. As we mentioned, we have about $17 million of revenue opportunity associated wins about a $100 million of capital, that’s been completed since the last rate case. And we can pull that in, when we are at 10% or below on a regulated ROE. In fact, in the first quarter we made an adjustment in this area representing the $4 million. Two, your question on guidance, we did, we have looked at our first quarter in the results there which is we noted we are feel de-minimus with the additional hydro. But we have only forecasted slightly above normal, four hydro’s, we don’t spend a lot of time on forward looking hydro conditions as we don’t know exactly what the runoff will be the benefit given gas prices. So, that’s where we leave it and we tend not to adjust at this point in time on a forecast basis.
Brian Russo – Ladenburg Thalmann: Okay. Understood. Thank you.
Jim Piro: Thanks, Brian.
Operator: And next we move onto Sarah Akers with Wells Fargo.
Sarah Akers – Wells Fargo: Good morning.
Jim Piro: Hey, Sarah.
Sarah Akers – Wells Fargo: Good morning. You mentioned some of the ongoing activities related to Cascade Crossing, but can you give us a better sense of kind of what are the important milestones with that project and more or so kind of when do you expect hit those, so when we might get more firms since of the CapEx timing on that project?
Jim Piro: There’s really a couple -- really key milestones, the first milestone is getting agreement with Bonneville and integrating the project into the Pacific North West grid and those agreements relate to easement and aligned rating. And we are working, in fact, there is a meeting going on in the other room just having that conversation today, in terms of how we work on those agreements. Because it’s been critical, because they have to be integrated in the whole grid, how the rating of that line is and how we connect to the various substations to get the maximum value for the region. So that’s a critical agreement, and we continue working on that. I think the conversations have been positive, Bournville have been very supportive. So that’s the key thing, we hope to that wrapped by the end of the year. And we’ll have a good sense of that by the end of the third quarter of whether we reached the finish line. But everything seems to be positive and moving in the right direction. We have to get the agreements reached. So that’s one critical piece. The second agreement that’s critical and this is really related whether it’s a single circuit line or double circuit line is PacifiCorp participation in the project. And we are in good conversation with them. They obviously need to get to the terminus of our project, which is Boardman and the way to get there is, they are proposing to build the project called Gateway West and then Idaho Power and Bournville in specific proposing available line from Hemingway to Boardman, which is the terminus of Gateway West, and once they get the Boardman than they would like a piece of our about 600 megawatts of our Cascade crossing to get to the Southern Oregon, where they have a load center. So there is few things that have to connect there, but that discussion is really around whether we build the single circuit line or double circuit line. We love to build double circuit line everything seems to indicate that’s the right strategy, PacifiCorp is very interested and everything is going well on those two projects that connect. So that’s the second important piece. But that’s really relative to whether we build single or double circuit. And that would obviously be more cost effective to build the double circuit line, just given the challenge of building these lines and optimizing and maximizing the value of the write away. The third challenging part of this getting the permits, and I would tell you we are doing all the surveys and as you know, the project was selected by the rapid response team to accelerate and facilitate it better licensing and permitting for these projects. Everything is going well in those projects. We are doing the surveys and all the work and we’re now starting to talk about what mitigation might be required for habitat and wildlife. And so that’s going well. And again, I think the visibility that we’re getting at the Federal Government, the other good news is both the Gateway West Project and Boardman, Hemingway to Boardman have also been selected by the rapid response team. So, a lot of good coordination and so those are the three key things and obviously the Bonneville agreements are the most improvement in terms of assuring that we have the -- this project integrated in the Northwest grid.
Sarah Akers – Wells Fargo: And then, do you have to have the VPA agreement in place before the PacifiCorp agreement can happen because that will be the determined of the single or the double?
Jim Piro: Clearly that agreement is critical, because of that, that agreement we don’t have a project. I mean that agreement with Bonneville enables that line to get built in terms of integrating into substations and the line rating and trying to make it all work within the context of the Northwest grid. So, it is like -- if we can’t the project built PacifiCorp doesn’t have any interest. So we have to get that agreement with Bonneville, so that’s almost a precursor. But we are -- but we really needed to get PacifiCorp on board because we have to get a lot of design work done and we’ll determine whether we build single or double. So we are in active conversation with the PacifiCorp as we speak in terms of trying to figure out, how that agreement would shake out with them. But clearly, the Bonneville agreement is a precursor to build in line.
Sarah Akers – Wells Fargo: Great. Thanks a lot.
Jim Piro: Thank you, Sarah.
Operator: And we’ll move on to James Bellessa with D. A. Davidson.
Jim Piro: Good morning, Jim. Good morning, Jim.
James Bellessa – D. A. Davidson: Good morning. Can you hear me?
Jim Piro: Yeah. We got you.
James Bellessa – D. A. Davidson: So production and distribution expenses in the first quarter were $53 million, so annualizing that to $212 million. But I think I heard that O&M expenses might be slapped with last year’s figure, which was $201 million with certain adjustments, did I hear correctly and is that -- what are those adjustments?
Jim Piro: Maria?
Maria Pope: Yes. And you did hear correctly. And those were adjustments, the first one relates to an insurance recovery related to activity in 2010 that was a positive adjustment to 2011 of a couple of million dollars. We also have items that are reflected elsewhere, Trojan refund expenses, some other items that are offset in depreciation and amortization, and other deferral.
James Bellessa – D. A. Davidson: And would the adjustment also be that $2.3 million charge in the second quarter, ideally seven month with the Sierra Club?
Maria Pope: That was a one-time item in the second quarter of last year. I haven’t included that in here. But certainly was, that increased our expense in 2011 versus -- we won’t that have expense in 2012.
James Bellessa – D. A. Davidson: Okay. So this run rate of $212 million is not likely to be reached for the whole year, is that fair?
Maria Pope: I think when we look at $212 million, there are in terms of -- their off takes will continue to flow through the production and distribution O&M area, but there are offsets in other areas. So it’s not boiling to the bottom line and affecting EPS. The amount is falling to the bottom line and affecting EPS, Jim, is much more representative to what we had last year, which as you noted was about $201 million.
James Bellessa – D. A. Davidson: And the depreciation and amortization line of expense for the quarter was $62 million, is that a fair run rates for the rest of the year?
Maria Pope: Yeah. That’s about a fair run rate. Again, some of this does in ‘11 make the quarter-to-quarter comparison more difficult.
James Bellessa – D. A. Davidson: Yeah. Yeah.
Jim Piro: Yeah. In some of those things in D&A are covered in revenues. For example, the Boardman, we accelerated the Boardman depreciation last year, midyear. And so now we have a full year of that. So some of that is covered in revenues. So there are offsets to some of the changes in D&A.
James Bellessa – D. A. Davidson: And in the cash flow statement, there was item of a sale of solar facility. Did you get out of that business? Why did you get out of that business?
Jim Piro: Maria you want to take.
Maria Pope: We are not out of that business. It’s part of our utilization of tax credits to do sale leased that transactions on some of our solar facilities. And so it’s very similar to the structures we have had with other small solar projects.
Jim Piro: So essentially, Jim we develop the solar project and we sell a new sale leased back vehicle. And then we basically buy the power back into our system to take advantage of the state tax credits.
Maria Pope: We operate it still ultimately on an D&A basis.
Jim Piro: And the cost is covered in our regulated rates.
James Bellessa – D. A. Davidson: There was also jump in direct access customers like 439 now versus 233 a year ago. What explains that big jump, is that a very, similar item?
Maria Pope: No. I don’t think it’s terribly worse. And there were a number of fairly small customers that in November moved to one year opt out. You’ll see that on a Kilowatt hours basis. The jump was not very meaningful.
Jim Piro: And again remember Jim that we are potentially, we are short of utilities, when we have customer who decides to get open access. We still get our T&D charges as part of the cost recovery. And then we just we don’t purchase power to meet that obligation. So and there is a calculation of the spent cost to benefits from our existing resource base. So warehouse is relatively neutral.
Maria Pope: Also you should note that none of our larger customers moved.
James Bellessa – D. A. Davidson: Thank you very much.
Jim Piro: Thanks Jim.
Operator: And we’ll move on to Andrew Weisel with Macquarie Capital.
Jim Piro: Good morning, Andrew.
Andrew Weisel – Macquarie Capital: Hi. Good morning, guys. I like to dig a little bit deeper on the load growth trends. If I heard correctly I think you said weather normalized loads were up 1.2%. My question is does that include the benefit of the leap day and how -- what does that number look like for the industrial cost customers that are not covered by your decoupling mechanism?
Jim Piro: Maria, you want to cover that?
Maria Pope: Sure. It does include the benefit of the leap day. And we -- it also excludes two fairly volatile and high consuming paper customers that do not affect margin or largely effect margin. And then on decoupling, we had a slight carry over negative hit of 1.3, somewhat from the fourth quarter of last year and $1.3 million.
Andrew Weisel – Macquarie Capital: Okay. I guess, let me ask the same thing differently then. For your industrial customers, I see from the press release that it looks like the actual volumes were down about 4%. What would that look like excluding weather?
Maria Pope: For -- we look about flat. And if you take a look at -- on the industrial customers -- excuse me -- we look about up 1%. If you and then if we exclude the other more volatile customers its up a little bit more.
Andrew Weisel – Macquarie Capital: Okay. Great. Then as far as there were two statements, I was a little bit confused about in the press release. You say for 2012 PGE projects deliveries will be comparable to whether adjusted 2011 levels. Yet on the guidance section, you say you expect 1% to 1.5% higher. How should I reconcile those two?
Maria Pope: So, I think that was confusing on our part. And it was on the first page is not reflective of the paper customers that we’ve excluded, that do not affect margin. And, so when we look at what’s really moving our bottom line and earnings per share, we are maintaining that 1% to 1.5% forecast.
Andrew Weisel – Macquarie Capital: Got it. Okay. Thank you, very much for clarifying.
Jim Piro: Thank you.
Operator: And we’ll move on to Naaz Khumawala with Bank of America-Merrill Lynch.
Jim Piro: Good morning, Naaz.
David Tories – Bank of America-Merrill Lynch: Hi. This is actually [David Tories] in for Naaz.
Jim Piro: Okay. Hi, David.
Maria Pope: Hi, David.
David Tories – Bank of America-Merrill Lynch: Hi. Just one question on pension expense, what is embedded in your guidance for the pension spend?
Maria Pope: Sure. We had about $13 million of pension expense for the year. We estimate about 5% discount rate in about 8.25% return rate.
David Tories – Bank of America-Merrill Lynch: Great. Thank you so much.
Jim Piro: Thank you.
Operator: And next we’ll hear from Mark Barnett with Morningstar.
Mark Barnett – Morningstar: Hey. Good morning.
Jim Piro: Good morning, Mark.
Mark Barnett – Morningstar: Just one small thing, I know you had had some oral arguments in February from the queue on the Court of Appeals around your Trojan refund from 2010?
Jim Piro: Yeah.
Mark Barnett – Morningstar: I didn’t see anything in the subsequent events, but I’m wondering what kind of a timeline or what might be related to your guidance for that ruling?
Jim Piro: There is nothing in our guidance that are ruling. And we really don’t have a timeline when they’ll make a decision. It’s related to their time to work through the process and come up with that decision. The likely outcome of that could be one or two things. One is that they reaffirm the PUCs decision, in which case there is nothing to do. And we’re done with that case unless they try to appeal that to the Supreme Court or they re-mandate it again back to the Commission and ask the Commission to re-work the prices again one more time. So, in either case, there would like be no impact on our guidance for this year because we’d have to go back to another process. So, we have two outcomes. And we’re just waiting for the Court of Appeals to rule.
Mark Barnett – Morningstar: Okay. And can you remind me, has the Chairman been selected yet for the PUC?
Jim Piro: No. Not at this point. We do have a full commission now, but the Chairman has not been selected.
Mark Barnett – Morningstar: Okay. Do you really expect any impacts either way from selection or is that just kind of a cosmetic thing?
Jim Piro: You know, I just really look at the leadership at the Commission. I would not expect either Susan or John Savage would be the likely candidate for that Commission. Both are experienced. They know the business pretty well. And we have a good relationship with both.
Mark Barnett – Morningstar: Okay. Thanks a lot.
Jim Piro: Thank you.
Operator: And next, you’ll hear from Eric McCarthy with Praesidis Capital.
Eric McCarthy – Praesidis Capital: Hi. My questions were answered. Thank you.
Jim Piro: Thanks, Eric.
Operator: We’ll move on to John Alley with Decade Capital.
John Alley – Decade Capital: Good morning, guys.
Jim Piro: Good morning, John.
John Alley – Decade Capital: Just one confirmation, you mentioned three capital projects that would come on in ‘14?
Jim Piro: Yeah.
John Alley – Decade Capital: And I was looking for a little more clarity on timing and cost?
Jim Piro: We provided the cost of these projects.
Maria Pope: We haven’t been specific on the cost. Two of those that Jim mentioned were buildings which are generally in are normal forecast of capital. You can see -- in the 10-Q, there is a capital estimation of roughly 330 for 2012. And then just under $300 million for 2013, I know, all three of those projects including the two buildings that Jim mentioned are in those numbers as well as the Boardman project.
John Alley – Decade Capital: Got you. And how much was the Boardman?
Maria Pope: It’s in those numbers we haven’t broken it out specifically.
John Alley – Decade Capital: Got you. And I’m just trying to figure out roughly the 2014 versus 2011 rate based difference. It looks to me about $100 million. Is that?
Maria Pope: That’s about it. Yeah. We have about $250 million of depreciation.
John Alley – Decade Capital: Okay. So you would go in with only $100 million difference in rate base so that you will see a little bit of capital on just like in O&M?
Maria Pope: A little bit of capital, the O&M is largely driven by additional chemical cost at the Boardman facility which would be used in mid-2014 after the capital projects are completed. And as Jim mentioned, we are still assessing what we do depending on where we end up with low growth.
John Alley – Decade Capital: Okay. And then lastly, it looks like there was a weather adjustment, but it also look like a Heating Degree-days days were flat year-over-year. What was the adjustment due to or just kind of timing when?
Maria Pope: It’s really timing. We had a very interesting weather period in terms of averages versus lack of severely cold days. And it was just timing and sort of anomalies between the periods.
John Alley – Decade Capital: All right. Thank you very much.
Jim Piro: Thanks John.
Operator: (Operator Instructions) Then next, we’ll take a follow up from Neil Mehta with Goldman Sachs.
Neil Mehta – Goldman Sachs: Hi. Yeah. Thank you. Was real quick. Can you help frame the drivers of 2013 versus 2012, given the absence of rate increases, how do you get sequential earnings growth next year?
Maria Pope: Sure. The first and foremost, we are looking at continued load growth in our area. As we’ve mentioned before Neil, we are very fortunate to have one of the largest hi-tech fabs in the world being built in our service territory and as well a subsidiary businesses that support that operation, particularly gas companies and others are fairly high users of energy. As we look at other industrial customers as well as the commercial customers, on the industrial front of our 20 to 25 largest customers, we are seeing and expect to continue to see about three quarters of those with a pretty nice load growth. We continue to see migration in our area. And so that’s where we started, it’s continued growth there. We also are very focused on maintaining effective cost structure on the O&M side. And then we do have the capital deferral that we will be able to bring in, again in 2013. As I mentioned, the total of $17 million additional revenue requirements.
Neil Mehta – Goldman Sachs: Got it. Okay. Thank you very much, Maria.
Maria Pope: Thank you.
Operator: And there are no further questions. I would like to turn the call back over to Mr. Piro for any additional or closing remarks.
Jim Piro: Thank you. We appreciate you interest in Portland General Electric and invite you to join us when we report on our second quarter 2012 results. Thanks again for joining us.
Operator: And that will conclude today’s call. We thank you for your participation.